Operator: Good morning, and welcome to the Sabre's First Quarter 2017 Earnings Conference Call. Please note that today's call is being recorded and it is also being broadcast live over the Internet on the Sabre's corporate website. This broadcast is the property of Sabre. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of the company is strictly prohibited. I would now like to turn the call over to the Senior Vice President of Investor Relations, Mr. Barry Sievert. Go ahead, sir.
Barry J. Sievert - Sabre Corp.: Thank you, Rochelle, and good morning, everyone. Thanks for joining us for our first quarter earning call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today's prepared remarks, is also available during the call on the Sabre IR webpage. A replay of today's call, along with the slide presentation, will be available on our website beginning this afternoon. Throughout today's call, we'll be presenting certain non-GAAP financial measures, which have been adjusted to exclude certain items. All references during today's call to EBITDA, EPS and net income have been adjusted for these items. The most directly comparable GAAP measures and reconciliations are available in the earnings release and other documents posted on our website at investors.sabre.com. We'd like to advise you that our comments contain forward-looking statements. These statements include, among others, disclosures of our guidance, including revenue, EBITDA, net income, earnings, cash flow and CapEx; our expected segment results, the effects of new or renewed agreements, products, implementations and acquisitions; our expectations of industry trends and various other forward-looking statements regarding our business. These statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. Information concerning the risks and uncertainties that could affect our financial results is contained in our SEC filings, including our 2016 Form 10-K. Participating with me on today call are Sean Menke, our President and Chief Executive Officer; Rick Simonson, our EVP and Chief Financial Officer; and Chris Nester, our Treasurer and SVP of Finance. Sean will start us off and provide a review of our strategic and commercial performance. Rick will offer additional perspective on our financial results and forward outlook. We will then open the call to your questions. With that, I'll turn the call over to Sean.
Sean E. Menke - Sabre Corp.: Thanks, Barry, and good morning to everyone. I appreciate this chance to continue the dialog with all of you. We got off to a solid start in the first quarter with stronger-than-expected revenue, EBITDA and EPS growth. The macro environment around the world remained supportive of growth in travel with solid global economic growth helping to drive strong GDS industry growth. As you've seen airline traffic numbers, as recorded by the major airlines, were strong in the quarter. Q1 also benefited from a favorable comparison to the year ago quarter, when GDS industry bookings declined 1%. These factors helped support strong bookings, passengers boarded and hotel transaction growth across all businesses in the quarter. Our strong top-line performance was driven primarily by better-than-expected booking environment in Travel Network, where our total global bookings increased 6%, paced by 6.3% growth in air bookings. Top-line performance in Airline and Hospitality Solutions came in about as expected supported by 7% growth in passengers boarded in Airline Solutions, reflecting on the mix of carriers and continued strong transaction growth in Hospitality Solutions. For Sabre, overall, this results in total Q1 revenue increase of 6%, driven by 6% growth in Travel Network and an 8% growth in Airline and Hospitality Solutions. Adjusted EBITDA was up 4% year-over-year, adjusted operating income down 1% from a year ago, adjusted EPS in Q1 of $0.42 was up 2% from a year ago, and free cash flow for the quarter totaled $35 million. In additional to the financial performance in the quarter, we had commercial and implementation successes across all regions of the globe that we expect to support our continued growth in the years ahead. In Hospitality Solutions, we had several wins, including the new customer, Grand Hotels, and a share-of-wallet expansion deal at Two Roads Hospitality. Successful CRS implementations included Oak Hotels & Resorts and Hospitality International. In Airline Solutions, we had a number of new wins in the quarter, including Intelligence Exchange at LATAM. We also had a SabreSonic win at PAWA Dominicana. Although PAWA is relatively small, they've demonstrated the flexibility of our solution to service airlines of all sizes and scopes of service. Among Airline Solutions cutovers in the quarter, we successfully completed the implementation of Movement Manager at Thai Lion and Malindo Airlines out of Malaysia, representing the second phase of our connected airline implementation across operations at these growing airlines. In Travel Network, among our suppliers and agency renewals and additions, we signed our first-ever full-content agreement with Hertz rental cars and renewed Corporate Travel Management or CTM to a new long-term agreement in APAC. CTM is a fast-growing global agency that is leveraging a suite of our offerings to support the continued growth of their business, including making great use of Sabre Red API as well as broad adoption to get there, Sabre Virtual Payments and Traveler Security and Automated Exchanges. The phased introduction of the new Sabre Red Workspace continues to go well with multiple pilot customers around the world using the product and the broader SaaS-delivered rollouts scheduled to begin midyear, starting in North America. The new Sabre Red Workspace is an important component of our distribution offering. As we talk to airline customers about their distribution strategies, it is clear the old distinctions between direct and indirect distribution are becoming outdated. Our customers want to take a more holistic view of distribution going forward with their ability to leverage all sales channels to optimize their revenues, networks and customer experiences. As carriers look to personalize and customize their offerings, they need to bring together the insights from the direct and indirect channels so they have a keener point of view of the customer. As a leading provider of PSS system and GDS technology, we have a unique position to enable this shift and deliver capabilities and insights from across all points of sale. So, we think our GDS expertise and insights can combine with the passenger systems we already provide to give our airline customers more value. We are progressing on implementing our 2017 technology investment priorities, while refining our longer-term roadmap of technology evolution. We've invested significantly over the last several years and will continue that investment strategy to bring enhanced capability, speed to market and increased efficiency to Sabre and our customers to help ensure we remain at the competitive forefront. We have made continuing significant investment, both CapEx and operating expense, in our technology architecture, network systems, platforms, and applications over the last several years. This has allowed us to grow market share across all our global businesses; Travel Network, Airline Solutions, and Hospitality Solutions. For the three years from 2013 through 2016, we increased overall annual technology spending, both CapEx and OpEx, by approximately $185 million from $762 million in 2013 to nearly $1 billion in 2016. This investment drove innovation and supported the evolution of our technology architecture and platform solution to take advantage of more efficient, stable and secure solutions. Today, we operate in a mix of environments across mainframe, mid-range, and cloud-enabled systems. Over that time, we grew revenue by an even greater amount. That combination is how we achieve benefit from effective investment in our technology and we're able to scale the business for positive financial operating leverage as well as customer wins in the form of increasing market share. In 2017, we're accelerating our adoption of the latest open source technology and mid-range processing as well as accelerating the delivery of cloud-based solutions to our customers. A few specifics here are worth noting. As discussed last quarter to further enhance systems and network stability and capability and the technology in our shopping complex, we have decided to migrate and re-architect our shopping and booking complex to a Sabre-managed data center. We expect this evolution to give us the ability to better manage shopping and allow us to evolve with the changing business models around increased consumer and industry shopping trends, including partnering with airlines to bring ancillaries and branded fares to key distribution channels. We're also building out a Saber-managed operated Global Network Operation Center, or GNOC, that will provide improved comprehensive system monitoring and enhanced capabilities. We are making great progress on these initiatives and the work on both projects is well underway. Our GNOC will be operational in Q2 and we expect to begin migrating shopping activity by Q3. In Hospitality Solutions, our central reservations and new property management solutions are 100% architected for the cloud. Our enhanced property management systems has been designed and developed as 100% cloud-based scalable cost-effective solution. A combination of cloud deployment and ability to integrate open source solutions will allow us to respond to our customers' demand for speed and agility, while balancing our cost. We're spending an incremental $10 million this year to accelerate the development of this industry-leading cloud-based solution, which we had previously disclosed. Our Airline Solutions environment is a strong current focus as we complement open source systems that transition to the cloud in many areas, including our new Revenue Optimizer. So, we're continuing our evolution, and our investment levels are up in 2017 for clear identifiable long-term benefits to Sabre and our customers. We have made clear that 2018 will have some elements of similar spend and will reflect similar business fundamentals to 2017. However, we remain focus on returning to overall technology spend growth levels that are below our strong revenue growth rates in order to further realize the financial benefits of scale and effective ROIC. We will continue to update you on our progress on these initiatives as we refine and prioritize during the remainder of 2017. With that, Rick will give more of the normal granularity on the first quarter results, before turning to what we see ahead for the balance of the year. Rick?
Richard A. Simonson - Sabre Corp.: Thanks, Sean. In Airline and Hospitality Solutions, Q1 revenue increased 8% to $258 million, driven by mid single-digit revenue growth in both SabreSonic and AirVision/AirCentre, further bolstered cloud Hospitality Solutions growth of nearly 25%. Solutions' EBITDA margins were 33.1%, resulting in Solutions' EBITDA of $86 million, growth of 3%. Solutions' EBITDA in the quarter was negatively impacted by service-level credits in the low single-digit millions related to a third-party vendor-driven technology outage. EBITDA margin would have been consistent with year-ago levels excluding this additional expense. Passengers boarded growth benefited from the strong macro environment, 196 million passengers were boarded through our SabreSonic reservation system in the quarter, a 7% increase year-over-year. Passengers boarded growth on a consistent carrier basis, which now includes American Airlines, was 4% in the quarter. Q1 Travel Network revenue increased 6% to $663 million, driven by solid bookings growth across all regions and segment EBITDA increased 6% to $290 million in the quarter. Our Travel Network EBITDA margin was higher than forecast in the quarter. The first quarter is typically the seasonally strongest for Travel Network EBITDA margin. Margins were also supported by bookings growth that was at or a bit above our expectations. Our Q1 margin was further improved by the reversal of a liability that'd been resulted from renegotiation of agreement with the travel agency that was considered to be out of market terms in our original Abacus purchase accounting in 2015. We had this in our full year plan coming into year, but the timing was uncertain. Excluding the impact of the contract signing that triggered the lease of the $16 million liability, Travel Network Q1 EBITDA would have been up modestly year-over-year. For the full year, we continue to expect Travel Network EBITDA margin of about 39% to 39.5%. Travel Network's revenue growth was supported by first quarter air bookings of 6.3% with solid growth in every region of the world. Non-air bookings increased just over 2%, resulting in overall bookings growth of 5.8% for the quarter. After a very strong start in January, bookings growth rates were more in line with our full year expectations over the balance of the quarter. We continue to see the environment as supportive of solid bookings growth for this year, but expect the middle of the year to be lesser robust than Q1. For the full year, we continue to expect bookings to increase mid-single digits. Travel Network bookings growth was geographically broad-based. Growth was again strongest in Asia-Pacific at 9.6% with 3.2% growth in North America and an 8.6% increase in Europe, Middle East, Africa. Bookings increased 8.4% in Latin America in the quarter. This is the strongest growth we've seen in that region since 2013. Globally, Sabre's Q1 share of GDS air bookings was 36.7%, relatively consistent with Q4 2016, but down 70 basis points year-over-year, primarily driven by customer mix within the regions. Year-end total debt increased slightly to $3.2 billion and leverage ticked up to 3.1 times trailing 12 months EBITDA. From first quarter operating cash flow of $123 million, we generated free cash flow of $35 million. Q1 GAAP CapEx totaled $88 million and capitalized implementation costs were $17 million. During the quarter, we repurchased 532,500 shares under our share repurchase authorization for approximately $11.5 million in aggregate. Inclusive of our first quarter dividend, we returned $50 million to shareholders in the quarter. Now looking ahead to the remainder of 2017, we are reiterating the full year stable level guidance we gave in February. At a high level, Q1 results were a bit above expectations. As it relates to published estimates for the remainder of 2017, the Q1 EBITDA and earnings upside should come out of Q4, driven by incremental operating expense for technology initiatives that we expect will hit more fully in Q4 as well as the earlier-than-expected signing of the agreement in Travel Network that reversed the liability on the balance sheet in the first quarter and pulled the related EBTIDA forward. We're also forecasting our full year tax rate to be between 31% and 32% given our current view of our mix of business compared to the earlier guidance of between 32% and 33%. To recap, as you recall, we expect total revenue growth of 5% to 7% or between $3.54 billion and $3.62 billion. Adjusted EBITDA for the year is expected to be between $1.08 billion and $1.12 billion with the full year EPS expected to range between $1.31 to $1.45. We continue to expect free cash flow of approximately $350 million for the year. Here, let me please note. This reiteration of earlier 2000 (sic) [2017] (17:51) full year Sabre guidance does not include any possible impacts or the possible reorganization proceedings associated with Alitalia AS, as reported in the press this morning. With that, I'll turn the call back over to Sean for some final remarks before opening up the call for your questions.
Sean E. Menke - Sabre Corp.: Great. Thanks, Rick. Our first quarter performance was solid and I am pleased with how we kicked off the year. These results provide a good foundation for us to build on for the balance of the year. I want to commend our teams for their hard work and commitment to serve our customers and shareholders alike. We are making solid progress in executing on a number of initiatives outlined at the beginning of the year, which includes strengthening our organization. As you saw from our announcement last week, Wade Jones has been named President of Travel Network and Dave Shirk will be joining us soon to lead Airline Solutions. I'm really excited about Wade move into a permanent role as the President of Travel Network. I've worked closely with Wade in my time at Sabre and he has been a key player in helping us to find where we can grow the Travel Network business and how the upcoming launch of our new Sabre Red Workspace can better serve our airline, hotel and other partners as well as the travel agents, corporate buyers and consumers who rely on the GDS. Dave Shirk is a proven leader of large-scale technology and software companies. He has overseen $1 billion-plus product portfolios with multiple product lines. His approach and leadership style will be additive to actions underway within our Airline Solutions portfolio. Most importantly, he will be a valuable asset as we further refine our strategies and plan the next phase of growth and focus for our company in the hundreds of airline industry partners that use our solutions. That wraps up our formal comments. I want to, once again, thank you for joining our call today. And with that, I'll ask the operator to open up the call for your questions.
Operator: Thank you. The question-and-answer session will be conducted electronically. And our first question we'll hear from Mark Moerdler with Bernstein Research.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Thank you. Two questions quickly, if you don't mind. Hospitality grew quite fast this quarter at roughly 25%. Can you give us a sense of specifically what the driver is? Is this more new customers versus customers using more modules or our increased total utilization? How is the mix driving up? And then I have a follow-up.
Richard A. Simonson - Sabre Corp.: Yeah, Mark, this is Rick. It's driven by continuing rollout of the implementation of Wyndham, both across our central reservation systems, where we're doing brand-by-brand across all 7,500 of their properties; as well as the property management system that Sean talked about. As we roll out through that – through their limited service properties across the target of about 4,500 properties. So, that's the strong driver of the growth. Not to be forgotten, though, is again the continuing, good, strong double-digit growth that comes from across our global portfolio, across risk, digital marketing services and beginning to be in property management across the independent hotel that as you're aware are very fractured and still very much using a plethora of non-scaled, less than cost effective and customer-friendly systems that are hosted internally or by providing solution provider. So, it's combination of those two things that get us to that approximate 25% growth.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Excellent. Very helpful. Another quick question, this quarter non-air bookings grew slower than air-bookings lower attach, how do you see this trending going forward?
Sean E. Menke - Sabre Corp.: Yeah. I'll kick off on that Mark and then have Rick add. So if you look at what really is taking place more on a year-over-year basis, one thing that is happening that we've talked about is just the growth in OTA bookings. And with OTA bookings, you have – you don't have as many attached hotels. The other thing is specifically in APAC as well you see the attachment rates lower. So as we continue to see higher levels of OTA bookings, this continued to growth in APAC, that's essentially what is weighing on the attachment rate.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Excellent. Thank you. I appreciate that.
Richard A. Simonson - Sabre Corp.: Nothing to add there. Thanks.
Operator: And we'll move next to Jim Schneider with Goldman Sachs.
James Schneider - Goldman Sachs & Co.: Good morning. Thanks for taking my question. I was wondering if you can maybe just kind of give us a little bit of an update on the accelerated investment plans, maybe talk through the different pieces of that accelerated investment and kind of where you are in the run rate of that investment and at what point you'd expect any of those to begin rolling off.
Richard A. Simonson - Sabre Corp.: Yeah. Sure. Thanks, Jim. It's Rick. Well, the first is – let's go to Hospitality Solutions, again, what we did was accelerate $10 million spend there to continue to further develop our property management system. So, that's the continuing release of new revs in our limited service property management to accelerate that, develop the additional feature functionalities, all consistent with our roadmap of what we're doing in a single instant, multi-tenant, community-based property management system, but we've seen enough traction, enough demand to accelerate that by $10 million and that's going as planned. And then on the stability initiatives, as I outlined earlier, the biggest one is the move of the shopping complex. That's kind of the shopping, pricing complex that drives a big portion of our bookings business in Travel Network and the related PSS passenger reservation system. Those are things that are core to those two businesses to get full distribution for airlines. We're moving that from HPE-managed data centers or the old HPE. It's now DXC rather, from up in Tulsa, Oklahoma, and we've re-architected that. So it's most, it's not only moving from somebody else's managed data centers, it's moving to Sabre-managed colo data centers that get the best of breed of colo providers here in North Texas. But importantly, we've used the opportunity to re-architect that so that we increase the ability to innovate on top of that with applications. And we increased the stability of the redundancy of the two different data centers. That's going along well. As Sean mentioned, we'll be moving over traffic in the shopping complex in quarter three. We're racking and stacking servers right now on the floor. And in terms of the GNOC, which is also related to that, yes, we had a GNOC before it, but it was managed by HP – the former HPE, now DXC. We made the decision to bring that in-house, again, to take advantage of best-of-breed GNOCs and also hire in some talent there that just stood up and run some of the biggest ones in the industry and in the world. So, we are going with that. That's in Bangalore. Obviously, it connects virtually with everywhere we need it to be in the world. It's up and is running and we're putting it through its paces. It comes on in this quarter, the second quarter. And so, both of those things are essentially fully operationalized by the fourth quarter of this year. It's on plan. We said in the second half is when we'll be beginning to get advantage of that. And importantly, in the data centers, we've incorporated some, I think, very best-of-breed flexibility around capacity to handle this, increasing shopping load that's hitting the industry with so called look-to-book. We have a flexi capacity arrangements with the new HPE, as distinct from DXC, in using their flexi high-density servers and having them available on a by-the-drink demand basis, so that it saves us CapEx. We have top hot availability sitting there on the floor, but we don't pay for it until and if we need it. So it's a great flexibility financially in how to manage CapEx, OpEx and it also help be very well prepared for the shopping data loads that are going forward. Those are the two big pieces. We said there's some other related operating expense around certain stability and security initiatives. Those continue to move through the year and are progressing as we planned.
Sean E. Menke - Sabre Corp.: Yeah. Let me just add to that. Rick got into a level of granularity there. But as we kick off the year and identified some of the things that we're going to do, this has been, as you would assume, highly visible within the organization. We have teams that are aligned to all of this. We report out on a weekly basis on progress being made. I'm very pleased with how the teams have engaged and what's taking place. Just to touch on the shopping thing as well. Part of our shopping team has gone into, and as we're out visiting with many analysts as well as investors talking with them not only about the infrastructure, but what we're also doing as it relates to really the algorithms as well as looking at cashing opportunity, continue to aggressively go after that to find ways of continuing to find improvement. So, again, a lot of work and a lot of progress made in the last couple of months.
James Schneider - Goldman Sachs & Co.: That's helpful. Thanks. And then, as a follow on to that, I wanted to ask about free cash flow. Obviously, that's been a pretty lumpy metric over the last several quarters. It was, again, in this quarter relative to the run rate you projected for the full year. So, can you give us a sense about how that free cash flow progression is going to flow through in the different quarters of this year? And then any update you can provide us in terms of potential recovery in free cash flow as we go through some part of 2018?
Richard A. Simonson - Sabre Corp.: Yeah, Jim. Thanks for that. This is Rick. The flow-through for the quarter, really from the good operating cash flow to free cash flow was just hit by some working capital items. One, remember, the acceleration of the EBITDA from the release of the liability associated with that out-of-market contract is a non-cash item. So, operating – EBITDA, operating cash flow has benefited by about $16 million in the quarter that doesn't flow to cash, so that's your big one. And then it's just the timing of hitting the clearing house exchanges again. So, we expect to pick up materially in terms of Q2 and then further be well over the $100 million of range in Q3 and Q4. So, we're on track for the approximate $350 million this year. Going forward, we haven't given any update on 2018 free cash flow. We'll do that as we work a little bit further through the year, consistent with what we said last quarter and, subsequently, as we spoke with you and investors what. We're trying to do is put the proof points around the investments that we are making, where we're getting the return, the benefit from that. And though, we do – can see some, again, similar elements in 2018 in terms of where we're going to spend for the benefit that Sean laid out. And so no further update at this time, but we're going to work through that through the year. And importantly, the work on the portfolio narrowing in focus particularly in Airline Solutions and how that flows into our whole technology spend is where our focus is, and we'll be updating you as we go through 2017 on that to get a little bit better view before we give full guidance at the normal time for 2018.
James Schneider - Goldman Sachs & Co.: Thank you.
Operator: And next, we move on to Matthew Broome with Cowen & Company.
Matthew Broome - Cowen & Co. LLC: Thanks for taking my call. What are you seeing right now on the pricing front with travel agencies?
Sean E. Menke - Sabre Corp.: On the travel agency side, I mean – the big thing, I think I'll go back to last year. We had a number of negotiations that took place last year relative to our largest agencies around the world. We ended up doing renewal of the agreement with CTM. The environment has really stayed the same. It's a competitive environment that's out there. We continue to see, specifically in specific parts of the world, a little more competitive actions taking place. Probably more on, what I would consider, the OTA side of the equation, but it's very consistent with what we've seen really over the last, call it 12 to 18 months.
Matthew Broome - Cowen & Co. LLC: Okay. And you mentioned your air bookings share was sort of flat to maybe down slightly on a sequential basis. I was just curious as to how you see that developing in the second quarter and throughout the rest of the year? That's it for me. Thanks.
Richard A. Simonson - Sabre Corp.: Yeah. Sequentially, it was kind of flat year-on-year, down 70 basis points, further driven by two things. Unlike every quarter to-date, our customer base, which is the biggest corporate travel agencies, grew slower than the overall market, and they're primarily based in North America. And the North American market was the slowest regional market, as I pointed out, globally. And that's what affects the market share. Again, as we said coming into the year, we expect to have strong market share for the year. This quarterly dynamic is caused by those two factors.
Matthew Broome - Cowen & Co. LLC: Thanks very much.
Operator: And next, we'll move on to John King with Merrill Lynch.
John P. King - Bank of America Merrill Lynch: Yeah. Thanks very much for taking the questions, guys. Good morning. Maybe just a follow-up on the technology investments, apologies to Rick over it. But I wonder about the scope of the project that you're kicking off, Sean, obviously, I guess somewhat triggered by some of the outages – or the outage you had at the back-end of last year. I guess, the risk is are there going to be other things that potentially creep into the scope of this project or how do you see that in terms of migrating some of the technologies away from mainframe or is that something that you're happy to keep? So, that was the first one, just where that technology project may start and stop. The second one was going to be on the Airline and Hospitality business. Obviously, very nice growth in the Hospitality side, and the PBs are up pretty well as well. So, I'm just trying to square out whether you had any softness in the revenue per passenger boarded metric and what the drivers might have been on that side, if that's the case, or whether there's a mix effect going on? And then, thirdly, and I appreciate this is, I guess, pretty short notice around the Alitalia bankruptcy, but maybe if you can talk at least in abstract terms about what kinds of changes you might need to make in the worst case, if there's any disruption there from that change? Thanks.
Sean E. Menke - Sabre Corp.: John, let me kick off on the technology, then I'll let Rick talk about Hospitality and Airlines, and then we'll talk about Alitalia. On the technology, here's the important thing that we did do is we're really mapping out the work that we wanted to be done. It was really comprehensive in nature relative to certain aspects of the business and we talked about the data centers, we've talked about shopping. We've talked about the GNOC facility. And in doing that, some of the sub-components that we have focused on really get into what I'd consider to be, how we're just managing the business, how we're looking at end-to-end options that are out there. So where we sit today, I feel like we have a very good project and roadmap in place. As you know, there is always ongoing investment and what we need to do, as we continue to look at opportunities going forward, they're going to be balanced on what is going to be the return. And as I often tell people that stability is about really food and shelter. You have to have that infrastructure in place and there's been a lot of things we continue to invest in that we've always invested in. As we look at things into the future, again this goes into how we look at our portfolio and other things that are out there, making sure that we actually are going to get the return that we want and we think that everybody deserves relative to moving things forward. And with that, I'll pass it on to Rick on the other two questions.
Richard A. Simonson - Sabre Corp.: Hey. Yes, John, on Hospitality Solutions, we've got a strong growth. We've talked about that, coming to Airline Solutions, particularly the PBs, and kind of the mix effect. Just a remainder, we had 7% passengers boarded growth in the quarter and on a same-store basis that would have been 4%. We did a cut over Alitalia since the previous year. And remember, American Airlines is included in that growth now. And as I said – called that out before, there is two effects that that have, one at – being the biggest airline in the world with approximately 200 million passengers boarded, they do get a better rate than a 20 million passenger boarded carrier, for instance. So all else equal, of course, they would, on an apples-to-apples basis, have a lower PB rate. So, you have that effect. We've talked about that a lot over the last year plus, so nothing new there. But American Airlines is growing slower than the industry average as well, and that impacts then that – the breakdown of the PB growth rates. But again, strong quarter on the PBs, as we expected; rates, as we expected. Again, then for the earnings in the Airline and Hospitality Solutions, the one thing I pointed out there was, again, we had some negative impact from a slowdown that affected the passengers and we had – or excuse me, in the PSS system and we had a small single-digit-million SLA payment. When it comes to Alitalia, again, I think the announcements this morning and speculation around the fact that Alitalia didn't come to agreement with some of its unions and therefore is expected to be entering a form of bankruptcy and reorganization is what's out in the press. And again, as a matter of policy and accounting, for us, if a carrier enters into a organized restructuring program, which is what this is maybe maybe possibly going. We moved to a cash basis method of revenue recognition until the bankruptcy is resolved. This results in some immediate impact, when that is, I think it is a Q2 – would start in Q2 of – where you reduce the revenues somewhat in the quarter at TN and AS, and when you move to a cash basis from an accrual basis. But remember, in these proceedings – and there's been many of them in the airline industry in the past, so there is a lot of experience in that matter. Key technology providers that are running the systems that keep the revenue going, the passengers flying and the brand viable while they restructure, tend to get paid and those payments comes through a clearing house. So, we'd expect it to proceed that way.
John P. King - Bank of America Merrill Lynch: Great. Thank you.
Operator: And next, we'll move to Ashish Sabadra with Deutsche Bank.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Good results. I had two industry questions. So, first one was Travelport talked about dynamic switching where some of the GDSs are – sorry not GDS, but some of the OTAs are experimenting where the traffic gets directed to all the connected GDS and the GDS which have the most fastest response wins the business. Have you seen similar trend? And if yes, then how should we think about like the investments that are required and improving the response time going forward? And does it make the share more dynamic going forward? So, just wondering if you could comment on this whole dynamic switching.
Sean E. Menke - Sabre Corp.: Yeah. This is Sean. When we had been talking really over the last 60 days or so on, the things that we had talked about, and it is one of the reasons when we have decided to really bring the shopping complex internally it was one – this is the primary reason for that. We have not seen anything specific as we look out relative to what is happening. We do know that's there because many of the OTAs have negotiated these contracts and they're sophisticated enough that they can do the switching. It's not only a combination of whether is it from a fee perspective, but it is also on the incentive side. But again, our ability to continue to stay focused on shopping, focused on essentially the speed, accuracy and bookability, those are really the three components that we look at, are the primary reasons, like I said, that we brought shopping in. And as I said, the team has made just some significant progress really in the last 30 to 45 days, as we continue to look at algorithms and cashing and getting the balance of making sure that speed is where it needs to be. A big part of this that is often overlooked is actually the intelligence or how good the team is and working with specific OTAs, because there are certain parameters and they're different by OTA, and we spend a lot of time going in and understanding essentially their business model and how they're essentially doing their searching and finding ways of actually increasing scale – or excuse me, speed and bookability. We've done that with a number of OTAs and we have some very talented individuals within Sabre that can outperform those tasks.
Richard A. Simonson - Sabre Corp.: Ashish, this is Rick. Just want to add, I mean we've been more than competitive with OTAs as they've grown faster than the overall market over the years, we've had and continue to have a leading position worldwide on that. And so, this is again just making sure that we're doing the appropriate level of investments to continue to be the leader there. And it is speed. It's bookability, but it's also fulfillment and it's really across those things. So, we're more than competitive right now and we intend to stay that way.
Ashish Sabadra - Deutsche Bank Securities, Inc.: That's very helpful. Thanks for the color. Very, very helpful. Just a quick question on the full content. There has been some increased rhetoric from Air France and IAG, in particular, that they want to get away from the full contract – full content agreement. I was wondering have you heard anything on that front or is there anything potential risk there?
Sean E. Menke - Sabre Corp.: Yeah. Let me just talk broadly. This is Sean, again. Relative to just a number of discussions that are taking place, and this is really on a global basis. And the one thing we've stated and continue to state is we continue to look at business into the future, and that's distribution in total, be it indirect or direct. And we continue to be a very strong advocate of essentially full content and why full content is important to really be able to provide to the agency community and really it fulfills really what customers are looking for and that's the ability to understand the options that are out there. Those discussions continue to take place with a number of carriers, as we look at what's going on out there. If you look at some of the data and this is something that we've seen with some specific carriers, you do get a level of – when carriers do make certain decisions relative to the decisions they're making, relative to moving – trying to move more to direct, there is an impact relative to yields and there are impacts relative to bookings that take place. So, we continue to have those discussions with specific carriers around the world.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Thanks, Sean. Good results. Thank you.
Operator: And next, we move on to Abhey Lamba with Mizuho Securities.
Abhey Rattan Lamba - Mizuho Securities USA, Inc.: Yes. Thank you. Rick, with these plans, any additional color on what drove the upside to Travel Network by various regions and what are the qualitative puts and takes that we should keep in mind as we're going through rest of the year in terms of the travel environment? And lastly, can you elaborate on the reversal of the liability that you mentioned helped your Q1 Travel Network results? What was the quantitative impact of that? Thank you.
Richard A. Simonson - Sabre Corp.: Sure, Abhey. Let me start with the last one, on the $16 million is a – pointed out, and again it's a liability that then when it gets reversed, it flows through the P&L as a contra-incentive expense. And so, that's where it helps cost of goods sold and flowed in through TN in that way, specifically, in quarter one. And then in terms of the regional growth, again, APAC continues to be the fastest, stronger growing region, wouldn't expect any difference there. Important to note, though, Latin America has seen its strongest growth since 2013. It's really kind of continuation of what we began to see last year in the industry, where you started to return to some growth across those regions. So, that's encouraging sign. And then Europe, Middle East, Africa has just had a really fantastic quarter one in terms of GDS bookings and air bookings volumes. I'd expect that to moderate as we go through the year and North America continue to be solid. So, really not a whole lot of difference in what we expected as we came into the full year. But a little bit better, as we called out, and it's been supported by overall economic growth and then good growth in the GDS channel. Sean?
Sean E. Menke - Sabre Corp.: Yeah. And I would add to that. If you look at APAC and EMEA, specifically, that's where you're seeing – from just airline growth capacity, that's where the greatest growth is actually taking place. So you're actually going to have an increase there. I do want to remind everybody that first quarter of last year, we did see the impact of the Paris attack, specifically, in Europe on the bookings. And so, you look at sort of the lull that took place last year. So when I mentioned that bookings on a year-over-year basis, when you're looking at 2016 over 2015, were down 1%. We saw a bigger impact in EMEA. So it's not surprising that you're seeing a rebound here in the first quarter with EMEA.
Abhey Rattan Lamba - Mizuho Securities USA, Inc.: Thank you.
Operator: And next, we'll move on to Jed Kelly with Oppenheimer.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my question. The airlines continue to have their IT issues, especially in March. Have the recent outrages increased or changed the conversations your Airline Solution teams have been having with Airline CTOs? And then Sean, based on the interview process, can you talk a little bit about how you would describe Dave Shirk's vision for the Airline Solutions segment?
Sean E. Menke - Sabre Corp.: Yeah. I'd be happy to touch on both of those. First, just on the conversation with airline executives and what's taking place, and really over the last 30 to 40 days I've spent a lot of time travelling and meeting our customers, and understanding really what they're dealing with. And again, I can remember much of that from my previous experience being in that business. It continues to get more complicated. And with that – and it goes back to my fundamental belief, and the fundamental belief that we keep talking about, as carriers are focused on driving more revenue, in doing that, they really then begin to drive into how are they doing it through branded fares, how are they doing it through the ancillaries and then how are they doing that through more personalization. And that's the first step of essentially driving more revenue. The second step is actually how do you fulfill that, how do you actually deliver those goods and services, which is really the brand promise that you're essentially showing. And with that, it ties very well into what we're talking about relative to distribution in general, indirect and direct, and how does that transition into the core PSS system. And those are the things as we continue to look at where we stand today, what the customers are looking for. We're having really good conversations about that and they understand that they need technology partners, specifically us, and a few other key individuals that are out here, groups that are out there, and really the ones that can do this. So, I'd say those conversations have been good. The other thing that I will share is we're at a point in time where a lot of carriers are just trying to figure out what they're going to do next in sort of this test and learn environment, and this comes back to technology and the agility, and flexibility of what needs to take place there. So, a lot of good conversations and is really driving our thought process relative to where we want to take the organization. And a lot of this has been what we've been working on. As it relates to Dave Shirk and bringing him on board, when we were recruiting for the role, we have a number of subject matter experts within the business that really do understand airlines, understand the operation side, which could be on crew or could be on flight plan management, we look at the commercial side of the equation, and we get into a number of the components that we have there. We're also looking forward into the future. It is the balance of really knowing product management, understanding the product development and taking that to a higher level. When we found Dave, one of the things that really did stick out for me and for others is his roles in specific organizations where he's had very large portfolios, and I mean over $1 billion of portfolios with many products, and the ability to essentially drive through that and understand, essentially, what are the core offerings and how do we make sure that we have teams aligned to deliver, and how do you do that's really efficient in what's taking place. So, that's a mindset, which I think is going to be very additive to the organization and how we do it. We have a lot of good talent in place. But again, I'm looking at how do we continue to balance the organization with talent across the board that will allow us to continue to leverage the opportunities that I just actually kicked off my comments with you all (49:02).
Jed Kelly - Oppenheimer & Co., Inc.: Thank you.
Operator: And next, we'll move on to Brian Essex with Morgan Stanley.
Brian L. Essex - Morgan Stanley & Co. LLC: Great. Thank you. Thank you for taking the question. Sean, really good points on having visibility by you, both into the direct and indirect markets. And I was wondering if you can maybe elaborate a little bit in terms of what your conversations are with the carriers and how you kind of leverage that and how it might influence the pricing that you have with them?
Sean E. Menke - Sabre Corp.: Yeah. Great question. I mean, the facts I always – the important thing that I always look at – and this is what is helpful when you have the discussion with airline executives and that is to go into just the revenue performance. And this is something that we have shared is, when we look at revenue performance – and this is in all regions of the world – you've found that unit revenues have been under pressure. And as we look at the opportunity going forward, we know that airlines have been very focused on the direct channel and how do they continue to drive revenue. And that has been with the introduction of ancillaries. And a lot of people on the branded fare side of the equation are still rolling that out. That's why we keep talking about it as it relates to what's happening in the shopping, in the shopping complex, because of the trends that we see there. When you understand essentially the amount of traffic that can be driven or bookings that can be driven through the direct channel, there are people that want to shop. There are people that are booking through corporate travel managers. And in doing that, this is why it's important to think about the indirect channel and making sure essentially what is being sold and providing through the direct channel can be provided through the indirect channel. And those conversations, I would say, are very – from where we sit today and where we were three or four years ago, they're very engaging. And the pressure continues to be on us relative to technology development and then also how we think about driving that into the core PSS, so PSS that we have or to one of our competitor PSS.
Brian L. Essex - Morgan Stanley & Co. LLC: Got it. Maybe a little bit of color on Sabre Red, as you approach the GA date, how are your conversations with travel management companies progressing? And you had a nice early win there with Flight Centre. Any other incremental opportunities in the pipeline, and maybe a little bit of color in terms of how the pricing for Sabre Red is going to compare with kind of what you have averaged over your platform currently?
Richard A. Simonson - Sabre Corp.: Yeah. A couple of things on that one. So, first, on how really as people are testing Sabre Red right now and they're looking at the capabilities of the product, it is something that there is a lot of interest and we're spending a lot of time with a lot of different agencies out there. And that will play out – really out through the course of the year relative to what's happening, relative to new business taking place. But what I will share with you is that we're engaged in a number of conversations, and people like the products and the capability that has actually come with Sabre Red. As it relates to the pricing side of the equation, first and foremost, the first thing that we focus on is – and it goes back even on the OTA, what's happening on OTAs as well as the brick-and-mortar, it's all about how they continue to grow their business. I'm speaking the agency side. And many of the products, the capabilities within Sabre Red are going to allow agencies around the world to continue to maximize profits relative to the contracts that they have, be it with airlines or hotels. The other thing that we'll do is we'll look at it from a modular component. There is a number of APIs. And remember, how this is built. It's built relative to the platform and APIs, essentially, are being used to develop this. We're looking at relative to, if you're not using Sabre Red, you can actually get access to API, and then there is revenue generation opportunity there. So not only from the Sabre Red perspective, but just the capabilities that we have developed and how they can actually be absorbed into their booking tools.
Brian L. Essex - Morgan Stanley & Co. LLC: Great. That's very helpful. Thank you very much.
Operator: And next, we'll move on to Brad Erickson with Pacific Crest Securities.
Brad D. Erickson - Pacific Crest Securities: Hi. Thanks for taking the questions. First, just a quick one on the implementations, and I may have missed this, I apologies if this is a repeat. But can you just provide any updates to the other – the delayed implementations that weighed on the growth? I guess, it was Copa, airberlin and you mentioned LATAM. Just curious to get any update there?
Richard A. Simonson - Sabre Corp.: Yeah. Nothing in the quarter one. But Brad, as you said, as we've talked earlier, for 2017, Copa is not being implemented. They've said that they would do that earliest in 2018, as they changed priorities sometime ago. They are using some of our other software products, including Intelligent Exchange, which gives them kind of real-time operational data and efficiencies across multiple different, disparate databases and systems. So, they're getting the benefit of that. But nothing in 2017 from them and earliest would be 2018, but we still have to work with them on any kind of thing definitively. Second, LATAM, big airline, the TAM portion, their Brazilian airline. They run our system on land. They're converging to one, will be a beginning of 2018. We and they consulted to push that into the first half of 2018 rather than the backend of 2017 to make sure that they could integrate disparate loyalty programs essentially together. So, that's an example of working with them. So, that's on track. We're working hard in doing implementation with them across this year. And airberlin, as we said, we've pushed back from earlier to the back half, late this year, at earliest on airberlin. And of course, we'll have to stay posted on how that develops as they work through – continue to work through how they're restructuring the airline, which is essentially what affected their original plan, where both the number of passengers boarded have gone down materially as they took some planes and sold them or leased them off to Lufthansa, and they're working to form a joint venture around kind of commercial – or excuse me, a charter tourist business. So more to come there.
Brad D. Erickson - Pacific Crest Securities: Got it. And then second, can you just remind us if there is any sort of a target for, I guess we call it, maintenance CapEx as a percentage of revenue, excluding some of these discrete investments being made around product enhancements and network operations, et cetera? Thanks.
Richard A. Simonson - Sabre Corp.: Yeah. There isn't specific – we don't give that level of granularity. Again, in terms of our CapEx, the GAAP CapEx is – in terms of your software that's capitalized, the capitalized implementation costs, which are specific to primarily just carriers on PSS reservations, are one-time when you do a big implementation. The combination of those two are adjusted CapEx. Within where we invest or general maintenance to keep systems up and running, we don't break out that level of granularity.
Brad D. Erickson - Pacific Crest Securities: Got it. Thanks.
Operator: And with that, I would like to turn the call back to Mr. Menke for closing remarks. Mr. Menke?
Sean E. Menke - Sabre Corp.: Great. Thanks very much. And again, I want to thank everybody for joining the call this morning. As you can see, we feel very good about the kickoff of the year first quarter results. Many of the initiatives that we had outlined to all of you are well underway. We continue to work aggressively towards what needs to be accomplished, and we look forward to updating you more on our accomplishments in the future. Thank you.
Operator: And that will conclude today's call. We thank you for your participation.